Operator: Good day and thank you for standing by. Welcome to the Nasdaq Second Quarter 2025 Earnings Call [Operator Instructions] Please be advised that today's conference is being recorded. I would now like to hand the conference over to Ato Garrett, Senior Vice President and Investor Relations Officer. Please go ahead.
Ato Garrett: Good morning, everyone and thank you for joining us today to discuss Nasdaq's Second Quarter 2025 Financial Results. On the line are Adena Friedman, our Chair and Chief Executive Officer; Sarah Youngwood, our Chief Financial Officer; and other members of the management team. After prepared remarks, we will open the line for Q&A. The press release and earnings presentation accompanying this call can be found on our Investor Relations website. I would like to remind you that we will be making forward-looking statements on this call that involve risks. A summary of those risks is contained in our press release with a more complete description in our annual report on Form 10-K. We will discuss our financial performance on a non-GAAP basis, excluding the impact of divestitures and the impact of FX. Organic and adjusted growth rates are equivalent this quarter as they include the same period-over-period adjustments. Definitions and reconciliations of U.S. GAAP to non-GAAP plus adjustments can be found in our earnings presentation as well as in the file in the Financials section of our Investor Relations website at ir.nasdaq.com. Also, we have included a page in the appendix regarding the sale of our Nordic Power futures business to Euronext. And with that, I will turn the call over to Adena.
Adena T. Friedman: Thank you, Ato and good morning, everyone. I will start with Nasdaq's second quarter results and will then review the performance across our divisions before handing the call over to Sarah for a more detailed discussion of our financials. I'm pleased with Nasdaq's excellent overall financial performance in the quarter. We delivered $1.3 billion in net revenue, a year-over-year increase of 12%. Solutions revenues were $991 million, representing 10% year-over-year growth. And our overall annualized recurring revenue, or ARR, grew 9% to $2.9 billion. Expenses were up just under 8% year-over-year driven primarily by the timing of our annual compensation cycle as we communicated on last quarter's call. Operating income of $721 million grew 16% and we delivered 24% EPS growth. Our results continue to demonstrate the strength of our diversified platform and our ability to capture growth through cycles, particularly given the heightened volatility that the markets and our broader clientele faced early in the quarter. More broadly, although macroeconomic uncertainty persists, the U.S. economy continues to demonstrate solid fundamentals as the labor market and consumer spending remain resilient. While GDP growth across Europe has still been muted, expectations for a recovery in consumer demand and a rebound of investment into the region support an improving outlook. Across the business environment, investment in technology transformation continues as companies try to focus on achieving benefits from AI. This is driving momentum across infrastructure modernization, accelerated cloud readiness and enhanced data management. These dynamics are evident across the banking and capital market sectors, where clients are focused on technology investments to modernize our infrastructure, improve their risk management and regulatory compliance and fight financial crime. Although uncertainty remains as to the longer-term impact of trade and economic policies, this resilience has translated into a robust sales pipeline across our Financial Technology solutions as well as active markets, index inflows and an improving IPO landscape. Turning to our high-level financial performance within our divisions. Capital Access Platforms generated 9% revenue growth and 6% ARR growth. Financial Technology delivered 10% revenue growth and 11% ARR growth, including 19% in Financial Crime Management Technology, 10% in Regulatory Technology and 9% in Capital Markets Technology. And Market Services delivered 21% net revenue growth. I'll now cover our business and operational highlights, beginning with the Capital Access Platform, where I'll start with Data and Listing. In our Listings franchise, the strong momentum in our switch program continued. Year-to-date, $271 billion in market capitalization, including Shopify and Kimberly-Clark have switched to Nasdaq. This represents the best first half performance since the official launch of our switch program 20 years ago. Turning to IPOs. In the second quarter, we welcomed 38 new operating companies to Nasdaq, representing a 79% win rate, raising a total of $3.6 billion and extending Nasdaq's listings leadership to 46 consecutive quarters. Year-to-date, we saw the highest level of new issuances in the first half -- since the first half of 2021, attracting 83 operating companies, including 3 of the top 5 largest IPOs with an overall 81% win rate. Importantly, the strong performance of recent listings, especially of large-cap companies has raised optimism on the IPO outlook for the remainder of this year and into 2026. Our European listings business also delivered a great second quarter with 6 new listings. Year-to-date, Nasdaq exchanges in Europe welcomed 10 new listings, which similarly included 3 of the 5 largest IPOs in Europe. Combined, these IPOs raised EUR 2 billion, 53% of all IPO capital raised in Europe and a fivefold increase in capital raised compared to the first half of 2024. We're particularly excited to see our Stockholm Exchange continue to lead as Europe's premier destination for new listings, underpinned by the relative valuation of its market and the strength of the local ecosystem. Our data business performance reflects strong and sustained demand for our comprehensive and innovative data products, with growth in new sales, upsells and usage across our client segments and geographies. Our industry-leading index franchise continues to drive solid growth. We managed through heightened volatility, as market value declines at the beginning of the quarter were offset by higher derivatives volumes followed by a fast recovery in market values. Throughout the quarter, inflows were strong at $20 billion. Over the last 12 months, we achieved a new record for net inflows of $88 billion. As volatility stabilized, we exited the quarter with a new record ETP AUM at $745 billion. We remain focused on product innovation with 33 new products launched during the quarter, over half of which were international. Additionally, we continue to focus on growing our exposure to institutional clients with the launch of 7 products within the insurance annuity space. Earlier this week, we were pleased to announce that Nasdaq and CME Group signed an extension through 2039 of CME Group's exclusive contract to offer futures and options on futures based on the Nasdaq 100 and other Nasdaq indices, reflecting the companies shared commitment to delivering value through trusted benchmark products. I also want to provide a brief comment on the proposed reclassification of the Invesco QQQ Trust. Nasdaq was engaged with Invesco as Invesco explored these proposals. Importantly, the proposed change does not alter the terms of Nasdaq's listing and licensing arrangements with Invesco, nor the administration of the Nasdaq 100 Index. We remain committed to our strategic partnership with Invesco and to delivering the trusted benchmark on which investors rely. Within Workflow and Insights, Corporate Solutions delivered modest growth, benefiting from our product and technology investments, which have enhanced our competitive position. We drove several notable wins, including a Nasdaq Boardvantage sale to a large international bank. which is also a significant fintech client. In Analytics, we continue to see strong demand for our Data Link and eVestment solutions across the investment management community as, well as improved gross retention rates. Lastly, across CAP, we are focused on meeting the growing demand for private market solutions. In June, we announced a partnership to be the exclusive distributor of Nasdaq Private Market's Tape D API, bringing enhanced transparency and valuation visibility of private companies. Since launch, we have already signed 2 clients and the pipeline is building. For asset managers and asset owners, our eVestment platform provides a wealth of private markets intelligence, which has become an increasingly powerful aspect to drive new sales and client retention. Turning next to Financial Technology. We delivered growth across products, client segments and geographies. This was driven by sustained demand for our mission-critical technologies and terrific execution by our teams, especially considering the complexity of the landscape for financial institutions throughout the quarter. Our sales execution remains strong as we signed 57 new clients, 7 cross-sells and 130 upsells during the quarter. Turning to a review of the subdivisions, starting with Financial Crime Management Technology. Nasdaq Verafin had another solid quarter of execution across client segments and continue to lead the industry through product innovation. In the enterprise client segment serving Tier 1 and Tier 2 banks, we successfully executed on our land and expand strategy with 3 new signings, including 1 cross-sell and 2 upsells. We are also pleased with the ongoing progress in our upsell conversion timeline, maintaining the 50% reduction in the sales cycle as compared to the original contract. We signed our first proof of concept with a European Tier 1 bank for our construction-based payments fraud offering during the quarter, marking a significant milestone in our early efforts to expand into Europe. And demand among our small and medium-sized client segment also remained solid with 46 new clients signed this quarter. Turning next to Regulatory Technology, where we signed 7 new clients and 4 cross-sells collectively. Revenue and ARR growth in AxiomSL were driven by a combination of large prior year client bookings starting to go live in addition to in-year bookings. The improving clarity around the regulatory environment in the U.S., for example, with the proposed changes to the supplementary leverage ratio has further contributed to the strength and diversity of our pipeline. In surveillance, beyond the strong revenue and ARR growth, we were pleased to sign 3 cross-sells to existing market tech clients, which included 2 market operators and a large financial institution. Capital Markets Technology delivered a solid quarter where strong momentum was further amplified by the normalization of sales cycles. In Market Technology, we are pleased to see strong demand from traditional and emerging trade infrastructure clients for our technology infrastructure solutions as well as our operational expertise. We signed 3 clients to Eqlipse Trading, our fourth-generation marketplace technology platform, including 2 fully managed services mandates where we host and manage our clients' entire trading environment and 1 AWS-hosted SaaS deployment. Calypso's performance reflected momentum in subscription revenues, including strong demand in Europe, where we delivered 2 new clients and 1 cross-sell and we remain confident in the pipeline for the rest of the year. Turning now to Market Services. The division delivered record net revenues, reflecting broad-based strength across our U.S. and European markets. We are proud to support our clients with a seamless trading experience as heightened volatility and rapidly evolving market conditions drove record industry volumes for U.S. cash equities and elevated volumes in U.S. equity options and European cash equities. We successfully executed the Russell rebalance with over 2.5 billion shares matched at a record notional value of $102 billion, further showcasing the strength and resiliency of our markets. In U.S. equities, we maintained our disciplined approach to pricing amid an exceptionally high volumes as we manage to capture and optimize the value of our franchise. In European equities, we delivered sequential improvements in share. Further, we continue to leverage our capabilities to capture off-exchange activity in Europe as well as in the U.S. Across the company overall, our excellent performance was driven by strong momentum across all 3 divisions, underpinned by execution on our strategic priorities. Within our Integrate priority, we are on track to action our expanded $140 million net expense efficiency program by year-end, with approximately $130 million action as of the end of the second quarter. We achieved a gross leverage ratio of 3.2x at quarter end, over achieving our milestones set at the closing of the Adenza acquisition 16 months ahead of schedule. Within our Innovate priority, we remain focused on delivering new innovations to enhance our value proposition with clients. This week, Nasdaq Verafin announced the launch of its Agentic AI workforce, a suite of digital workers that will deliver a step change in compliance effectiveness and efficiency. Early results from the first 2 agents in beta, the Digital Sanctions Analyst and the Digital Enhanced Due Diligence Analyst demonstrate Agentic AI's potential to address the most resource-intensive compliance workflows. For example, when onboarded into a bank's alert triage workflow, our Digital Sanctions Analyst automates the acknowledgment, screening and documentation processes, reducing alert review workload by more than 80%. We also continue to expand the library of anti-money laundering targeted topology analytics. Our terrorist finance -- our terrorist financing analytics launched in Q1 and is already being leveraged by 900 clients, nearly doubling adoption versus the end of the last quarter. Our drug trafficking analytics launched this quarter in early beta has already driven strong client engagement. In addition, we're continuing to invest in new partnerships to enhance product capabilities, including our partnership with Fincom, which supports advanced sanction screening. Beyond AI, digital assets represents another key theme driving our innovation as we focus on that maturation of the ecosystem and supporting institutional adoption. For instance, Nasdaq Calypso announced an innovative proof of concept, which will expand upon its industry-leading collateral management capabilities. The use case demonstrates our ability to integrate on-chain capabilities to allow us to help financial institutions manage collateral across asset classes and markets in a more dynamic and efficient manner. We continue to work with our partners and clients to finalize the product build and are targeting launch in early to mid-2026. Lastly, within our Accelerate priority, our One Nasdaq strategy drove 7 cross-sell wins across Financial Technology in the quarter for a total of 26 cross-sells since the Adenza acquisition. At the end of the quarter, cross-sells accounted for over 15% of Financial Technology sales pipeline and we remain on track to surpass $100 million in run rate revenue from cross-sells by the end of 2027. Looking ahead to the remainder of 2025, Nasdaq is well positioned to continue to deliver for our clients and shareholders. While we remain conscious of the impact of sustained uncertainty in the economic and market environment, we continue to demonstrate that our diversified business can deliver through different cycles. This is reflective of our role as a trusted strategic partner to our clients across the financial ecosystem and our ability to help them navigate across market environments, capture strategic opportunities, manage risk and solidify their operational resilience. We enter the second half of the year with momentum across our platform and will remain laser-focused on supporting and innovating for our clients as the environment evolves in the period ahead. With that, I will now turn the call over to Sarah to provide more details on our financial results.
Sarah M. Youngwood: Thank you, Adena and good morning, everyone. In the second quarter of 2025, Nasdaq delivered one of our strongest quarters on record with 24% EPS growth, underscoring the durability of the model and the consistency of our execution. Starting with quarterly results on Slide 11. We reported net revenue of $1.3 billion, up 12%, with Solutions revenue of $991 million, up 10%. Operating expense was $585 million, up just under 8%, leading to an operating margin of 55% and EBITDA margin of 58% both up 2 percentage points. This resulted in net income of $492 million and diluted EPS of $0.85, up 24%. Slide 12 shows the drivers of our 12% net revenue growth for the quarter. We generated 8.5 percentage points of Alpha, driven by new and existing clients and product innovation. Meanwhile, Beta factors contributed 3.5 percentage points of growth this quarter, driven by higher valuations in Nasdaq indices and higher overall volumes in Market Services. As shown on Slide 13, we realized a second consecutive quarter of ARR growth of 9%. This quarter's 9% included 11% ARR growth in fintech and SaaS revenue growth of 12%. SaaS as a percentage of ARR increased 1 percentage point to 37% compared to the second quarter of 2024. Let's review division results, starting on Slide 14. In Capital Assets Platforms, we delivered revenue of $527 million, up 9% and with ARR growth up 6%. Data and listings revenue was up 5% with ARR up 7%. Revenue growth was primarily driven by data due to the positive impact of new sales, upsells and usage. Within listings, the benefits of new listings and pricing were partially offset by delisting and lower amortization of prior period initial listing fees. This is consistent with our previous comments and we expect that to be the case for the remaining quarters of the year. Index revenue was up 17% in the quarter, mainly driven by average ETP AUM of $663 billion, up 25%. This is due primarily to strong net inflows with more than half of the quarterly revenue growth driven by Alpha factors. ETP AUM included a record $88 billion of net inflows in the 12 months, including $20 billion in the second quarter. Volume-based license revenue was also up modestly as derivatives contract volume, up 15%, was mostly offset by a mix shift towards micro contracts in the quarter. which have lower capture. In Workflow and Insights, revenue and ARR growth were both up 5% for the quarter. The increase was driven primarily by analytics, mainly eVestment and Data Link, with continued demand from hedge funds, asset managers, asset owners and consultants who value our differentiated data. Corporate Solutions also grew modestly due to pricing and key client wins. Quarterly operating margin for the division was 58%, up 1 percentage point. Moving to Financial Technology on Slide 15. Revenue was $464 million, up 10% with ARR growth of 11%. We are extremely proud of these results in the context of a tough Calypso comp. Our business was resilient, amid the modest delays we described early in the quarter, which contributed to low single-digit professional services revenue growth. The division signed 57 new clients, 130 upsells and 7 cross-sells in the quarter. Even with these wins, cross-sells continue to represent over 15% of the Financial Technology division's pipeline with strength across all 3 subdivisions. Financial Crime Management Technology revenue grew 20%, with ARR growth of 19%. We signed 46 new SMB clients and 3 new enterprise deals, including 1 cross-sell and 2 upsell. Net revenue retention was 113%, reflecting strong client engagement, including the continued adoption of the GenAI Entity Research Copilot and Targeted Typology Analytics. In addition to persistent execution in the SMB segment, a consistent contributor to growth and ongoing momentum in product innovation, the business continues to make strong progress in moving upmarket and is showing early traction with our international expansion. As a reminder, the sales cycles and time to value for Tier 1 and Tier 2 deals can take longer to flow into the subscription revenue run rate. But the momentum in the business persists, we more than doubled enterprise signings year-to-date versus all of 2024, which will begin to translate into stronger growth from this client segment starting in the fourth quarter. Regulatory Technology revenue grew 11% with ARR up 10% for the quarter. The division signed 7 new clients, 67 upsells and 4 cross-sells. Revenue growth reflects solid performance despite modest client readiness delays driven by regulatory uncertainty. As we get clarity from regulators, professional services revenue should start to improve in the fourth quarter and early 2026. Capital Markets Technology revenue grew 8% with ARR up 9% for the quarter and with 4 new clients, 61 upsells and 2 cross-sells. Financial Technology operating margin was 47%, which was flat versus the prior year quarter. As we wrap up our Solutions division, we expect our 2025 revenue growth outlook for the divisions and subdivisions to be generally consistent with our comments provided in the April earnings call. Turning to Market Services on Slide 16. We had record net revenue of $306 million, reflecting growth of 21%. This included a second consecutive record net revenue quarter in both U.S. options and U.S. cash equities. Growth was primarily driven by the increase in market-wide volumes but also included higher share and slightly higher capture in U.S. options, growth in index options, higher capture in European derivatives and higher U.S. state plan revenue. Market Services operating margin was 63%, up 5 percentage points, highlighting the strong operating leverage of this platform. Moving to expense on Slide 17. We had operating expense of $585 million, up just under 8%, consistent with expectations provided last quarter and driven by strong investments in technology and people to support revenue and drive innovation and growth, employee compensation and other increases largely due to inflation. This resulted in an operating margin and EBITDA margin both up 2 percentage points to 55% and 58%, respectively. We are maintaining the midpoint of our organic expense expectations for the year, which carries forward our trajectory of healthy operating leverage accompanying our strong revenue performance. Now that we have started to experience a more consistent FX impact as the year has progressed, we are updating our 2025 non-GAAP expense guidance to reflect the impact of movements in FX rates and to narrow the overall range with 6 months left to the year. Our guidance is now a range of $2.295 billion to $2.335 billion. The $20 million increase in the midpoint of our guidance is entirely due to FX, with no change to the organic expense growth rate implied by the midpoint of our guidance. Due to the offsetting positive FX impact on net revenue, we expect the change in FX to have no impact on our operating income. Lastly on expense. We have actioned approximately $130 million out of our $140 million efficiency program as of the end of the second quarter and our team is well positioned to continue to deliver on the program. We maintain our 2025 non-GAAP tax rate guidance of 22.5% to 24.5%. Turning to capital allocation on Slide 18. Nasdaq generated free cash flow of $467 million in the second quarter. This strong level of cash flow enabled us to support deleveraging our dividends and share repurchases. We paid a dividend of $0.27 per share or $155 million in the quarter, representing a 34% annualized payout ratio. In our continued commitment towards deleveraging, we paid down the $400 million remaining on the June 2025 bonds at maturity using cash on hand. We reached a gross leverage ratio of 3.2x at the end of the quarter, overachieving our 3.3x milestone 16 months early. The 3.2x ratio improved from 3.4x a quarter ago despite a 0.1x headwind from USD weakness relative to euro. We also repurchased a total of 1.2 million shares of our common stock for roughly $100 million in the second quarter, which included the completion of our annual employee dilution-related repurchases in April as well as opportunistic repurchases beyond that commitment. As we continue to execute against our compelling organic growth strategy, we remain focused on organic investments in the business, our dividend program and opportunistic debt and share repurchases. In closing, Nasdaq delivered excellent results amid a dynamic operating environment, exemplified by a second consecutive quarter of double-digit net revenue growth and ARR growth of 9%. We continue to demonstrate strong operating leverage and make meaningful progress on our capital strategy. Our first half performance reflects our ability to grow through cycle and underpins our confidence to achieve our 2025 objectives, as well as deliver sustainable growth and long-term shareholder value as we drive forward in the second half of the year and beyond. With that, let's open the line for Q&A.
Operator: [Operator Instructions] Our first question is from Michael Cyprys with Morgan Stanley.
Michael J. Cyprys: Just wanted to ask about Agentic AI. I was hoping maybe you could elaborate a bit on the opportunity set that you see. I know you flagged one in particular I was just hoping maybe you could elaborate more broadly. How you're experimenting with that across the firm? I know you mentioned the example on Verafin. But just more broadly, how do you think about the opportunity across Nasdaq? What areas can make the most sense next? How meaningful in terms of efficiency gains do you think you might be able to extract from this? Just curious any color you might be able to share.
Adena T. Friedman: Great. Thanks, Michael. Well, we -- internally, we have programs that focus on AI in the product and then AI on the business. And we do have those distinct programs because in the product, we've integrated how can we use AI within each of the product development pipeline. So we kind of look at what is the pipeline of opportunities and the future of each product and how does AI play a role. So in the products, we've introduced GenAI and algorithmic AI to support Calypso, for instance, in terms of efficiency and risk management and more accuracy in risk management calculations, in our governance platform in terms of [ Board ] summarization and we are continuing to work with the users of governance to see where else we can use that kind of summarization tool to make the preparation for Board meetings and the process for managing Board meetings more efficient. We use it also to drive new intelligence around something called Sustainable Lens that helps companies understand the competitive dynamics around sustainability programs. And then we also, inside our fintech division, have used it to support and we are using it to support these efficiencies for our clients. So as we talked about with the new Agentic AI that's being rolled out within the financial crime management, it will reduce the time that analysts have to spend on some of that work that is, in terms of investigative work, reporting work. But that's also applicable across AxiomSL and surveillance, which are also -- have a lot of that type of regulatory reporting obligations tied to them. So all of those things are really applicable across in the products and our product road maps reflect those. On the business is where we are applying AI into the company to make us more efficient. And our 2 focus areas that we've really started to scale up are in the product development life cycle because there's so many more agentic tools that can be integrated together to create more automation in product development and product delivery in addition to in the client success areas in terms of having information at the fingertips of our client success agents to support their work with clients and helping them understand issues or troubleshoot issues. So I think that it is a holistic approach to bringing AI into the business. Our efficiency program in 2025 does reflect just early progress in that in terms of bringing some efficiencies in. But we do expect that to scale even further in 2026 and we'll provide you more disclosures on that as we get into 2026.
Operator: Our next question comes from Alexander Blostein with Goldman Sachs.
Alexander Blostein: I wanted to go back to your comments around slight improvement, I guess, you guys are seeing in the pipelines and accelerating sales momentum towards the back end of the year. You made a couple of specific points, I think, both on-prem dynamics for Q4 as well as onboarding within financial crime, I guess, in the fourth quarter as well. Maybe just put a little more granularity what that means for revenues in these businesses towards the end of the year and more importantly, how we should be thinking about the momentum in fintech entering into '26?
Adena T. Friedman: Sure. Yes. Thank you. And yes, you are -- you captured the comments well. So we do have a very healthy pipeline across our fintech businesses. And one of the things we also look at is maturity of our pipeline. And I think that our pipeline continues to have -- to mature so that we feel -- have increasing confidence in our ability to bring these clients on board or upsell to clients appropriately. So it feels very healthy right now, the demand that we have across the world and it is very much across the world for improved trade infrastructure, risk management, regulatory reporting, anti-fin crime. I mean it's really holistic, too. It's not really geared towards one particular product. It's really across our franchise. And then specifically with financial crime management, we are talking -- when we talk about the enterprise segment, those are the Tier 1 and Tier 2 banks and as Sarah mentioned, we have already signed twice as many deals in that space as we signed all of last year. And -- but it takes time to implement them, same as it does with AxiomSL and Calypso. So the revenue starts to ramp up and come online as we get those clients implemented. And that's why she mentioned with FCMT that we should start to see more contribution of revenue from the Tier 1, Tier 2 clients getting into Q4 and into '26. So we do feel like there is momentum coming through the second half of the year. And hopefully, it will also accrue to the benefit of '26 as well.
Operator: Our next question comes from Patrick Moley with Piper Sandler.
Patrick Malcolm Moley: Maybe just sticking with the some of the sales cycle commentary. I was hoping you could just talk a little bit more about how your conversations with customers in fintech trended in the second quarter? What impacted some of the tariff-driven volatility we saw in April have on those conversations? Just trying to get a better sense for some of the timing of those wins in the second quarter.
Adena T. Friedman: Sure. Yes. So I think 2 things. We talked on the first quarter call, we talked about 2 trends that we are monitoring. One was and particularly with Calypso in the U.S., we were seeing some conversations with our clients back in March and April kind of elongate a bit. Clients are saying, well, we need to spend a little time understanding the environment before we make final commitments. And -- but as we got into May and June, those conversations normalized and clients were ready to move forward. But that did give us a little bit of kind of a few weeks of a little bit of a pause in the sales cycles. And so I think that's one thing we've mentioned. And the other is, with the regulatory uncertainty in terms of what will -- particularly in the United States, there are changes in the oversight and governance regulation in the United States, I think some of the implementations with AxiomSL were starting to get elongated because they weren't sure what the timelines were going to be actually, I think for -- in the U.S. and also in Europe in certain regulations. And I think some of that's starting to shore up. I did mention [ SLR ], some regulatory guidance is starting to come out, that's giving clients an understanding of what their obligations are going to be. And so those conversations with our clients are becoming more certain. But that's helping to shore up the pipeline, implementations are still working their way through. And I think that Sarah did mention that, that is driving low single-digit growth in the professional services and a particular impact on AxiomSL. So that's why we mentioned that both in the first quarter and that she discussed that in the second quarter as well. Go ahead, Sarah.
Sarah M. Youngwood: Yes. I would also add, if you look at what we put in our usual Page 8 of the presentation and which we mentioned, both Adena and I, the wealth of signings in fintech in this quarter was, I think, really important. And it's really a contributor to that momentum and with a strong pipeline that Adena has also mentioned.
Adena T. Friedman: Yes. We were just extremely proud of the team because they worked so closely with their clients throughout the quarter to help -- you want to be both patient and pleasantly persistent. And I would say that our sales team just did an excellent job of staying close to the clients throughout the quarter in order to get them across the finish line wherever possible.
Operator: Our next question comes from Bill Katz with TD Cowen.
William Raymond Katz: Maybe switching gears a little bit. I'm sort of curious to get your latest thinking on the ability to leverage through the digital ecosystem. Obviously, the momentum building both from a use case as well as the regulatory backdrop around stablecoin and tokenization and maybe even just crypto. I was just wondering if you could talk us through where you see the greatest opportunities, both from a volume perspective and perhaps even from an efficiency perspective for the platform as well.
Adena T. Friedman: Great. So with regard to digital assets, I think you're right that there's some regulatory wins coming that are favorable towards the institutionalization of digital assets, both in traditional and I would say, traditional asset classes as well as in the crypto space. And the first one, of course, being with stablecoin. And there, what that does is it creates a lot of efficiency of payment rails and the ability to move money much more efficiently. And so we're not a payments company but we do care a lot about how capital markets operate and the efficiency of those capital markets and the ability to move collateral more efficiently across different markets and asset classes, the ability to manage risk in a more dynamic way, as well as the digitization of less liquid assets that maybe create more efficiency in the trading of those assets around the world. So as a technology provider, we provide technology to traditional markets and helping them digitize assets all the way from trading, all the way through to settlement and depository but we also provide collateral management capabilities in Calypso. And as I mentioned with the proof of concept, what we're trying to show is that we can use on-chain capabilities to move collateral a lot more dynamically, which will free up a lot of liquidity. There's a lot of excess liquidity trapped inside clearing brokers and clearing houses. So the question is, can that move in a more dynamic way. So that's in stablecoin. I think with regard to market structure in the crypto space and just the digitizing of traditional assets, the market structure is still yet to come and we're heavily engaged with regulators and legislators to engage with them. We look forward to seeing how regulation can evolve because it is a great technology and it's an interesting asset class that's evolving. The one thing we always focus on and every conversation we have is what is going to benefit investors. So what market structure will be investor first, investor-friendly, how can we also participate in those asset classes in a way that serves investors really successfully, looking at things like allowing securities exchanges to own ATSs, which we cannot do today, also allowing us to have a single platform that can trade securities and nonsecurities. Things like that are going to be part of the dialogue and market structure that's opened up opportunities. But in general, we feel like the institutionalization of crypto as well as the ability to bring digital assets to drive efficiency is a positive for the industry. So we're very excited about where -- the direction of travel here.
Operator: Our next question comes from Simon Clinch with Rothschild & Company, Redburn.
Simon Alistair Vaughan Clinch: I was wondering if we could just pivot to the index business, please. And could you maybe just give us a little bit more color about the dynamics you're seeing in that business and particularly strong flows that you saw again this quarter. And I was just wondering if you could maybe give some color around the durability of that or how to think about the structural dynamics there.
Adena T. Friedman: Well, first, I think, first, Sarah and her team do a really nice job working with the business to show Alpha versus Beta, and that's demonstrated in the presentation. So what we focus on is obviously Alpha, what we can control. We control new product creation and we created 33 new products. We also have a very defined strategy around our expansion, around institutional adoption, international expansion and new products. So we have 33 new products, 7 of which are in the institutional space and many of them are also international in nature. So we are really executing quite well in that kind of [ 3-pillar ] approach to growing and expanding the business. We then also, of course, work very closely with our investment management partners on driving adoption of our indexes and we had $88 billion of inflows, $20 billion in the quarter. We can't necessarily control inflows all the time. But what we focus on is how do we make sure that investors understand both the track record but also the potential of these indexes to drive value for them. How do we create indexes that are really leaning towards the future of the economy, which, of course, is symbiotic with our brand. And then how do we also think about specific investor strategy. So sometimes, it can be more of like a dividend-oriented strategy or a buyback oriented strategy or things that they want to be focused on and we work closely with our investment manager clients to create indexes in those areas. So in all of those fronts, I think we're doing a really great job. And I think we have -- we are a very strong partner. We take a partnership approach to every new index we create with our clients.
Operator: Our next question comes from Alex Kramm with UBS.
Alexander Kramm: Just wanted to come back to the strength in fintech and in particular, on the Capital Markets side and I think you talked to some of this already. But if I look at ARR and if my numbers are right and I think they typically are, I think you added $39 million quarter-over- quarter in ARR. So I think that's the largest sequential increase that we've seen. And obviously, you only have a couple of years of data here. But just wondering, what specifically really drove such a chunky number? I mean, is it a lot of deals? I know you gave some numbers. Is it some really chunky things that happened, just the pipeline just had to execute against? And then more importantly, is there anything that maybe came a little earlier than you expected? And could this take away a little bit from the ARR for the remainder of the year?
Adena T. Friedman: So we -- just to unpack capital markets, there are 3 areas of that business. You have Calypso, you have market tech and then you have the Connectivity Services business. And so starting, I'll go back to front on that one. So starting with Connectivity Services. The volumes that we experienced in our markets definitely drove more demand for Connectivity Services among our clientele. And as I -- just as a reminder, we have doubled the size of our data center. So that gives us more capacity to be able to serve that demand. The second is in -- I think I mentioned Calypso second. So Calypso, we had a 34% growth quarter last year. And so the fact we had 3% growth on top of 34% growth just says that we did a really nice job of finding new opportunities and working with our clients to close those opportunities. I would say it was pretty broad-based, Alex. It wasn't like one single thing. But there were some great -- some larger clients that were part of the quarter with a lot of upsells. And then in market tech, I think that's where those 3 Eqlipse Trading clients I did mention, those are significant deals because we're not just providing the software, we're managing the software. And those tend to be larger contract opportunities for us because it's a managed service. So I think all of those things ultimately contributed to the strength in the ARR growth.
Operator: Our next question comes from Michael Cho with JPMorgan.
Michael Cho: I just want to touch on the data and listings business, which saw some nice revenue growth acceleration in 2Q. You called out the contribution from data driving some of the results here. I also think you called out low single-digit growth for 2025. And so I was hoping maybe you could just remind us of the mix of the business here. And then when we think about kind of revenue growth acceleration in the segment, how would you think about the impact from the data business continuing to trend along pretty well versus the improvement you're seeing in the listings business?
Adena T. Friedman: Great. Thanks. Yes. We're very pleased with the progress in the data business. And what we really focused on is continuing to expand our relationships with certain clients, like especially retail brokerage platforms around the world where they might take a deeper set of data from us and expand what they're offering to their clients around the world. And then we also are -- continued that global expansion. There's so much interest in the U.S. markets and having retail access to the U.S. market that we -- and our products, we think, are obviously the best in the world and providing transparency of the markets to them. And so we continue to find really strong demand there but also usage of our data because we do have certain data products that are usage-based. And there is a lot of retail involvement in the markets and volumes in the markets and that retail demand is driving usage across the data as well. From our point of view, we would see that, that is trending. So that's a trend that we -- we're looking at pretty good trends going into the second half of the year as well. And then in listings, it is an improving story. As we mentioned, we are seeing more new issuances this year. We do have a really healthy pipeline and we do hope to have even more large cap companies come out in the second half of the year. It will be market dependent. And as you all know, that also kind of tends to have a little bit of a lag because we don't recognize all the initial listing fees upfront. We have that, that's amortized over multiple years. So it will take a while for that to kind of show up as real momentum in the growth there. So we are trending a little above our medium-term outlook there. I think we have good opportunities to continue that trend but we also -- it is an uncertain environment around us.
Operator: Our next question comes from Kyle Voigt with KBW.
Kyle Kenneth Voigt: So earlier this week, the SEC announced a roundtable for September to discuss the trade-through rule or Rule 611. And Chair Atkins took a view in that press release that 611 has not served investors or broker-dealers well. Obviously expecting more details to come at the roundtable date but just curious to hear how you rule -- you view Rule 611 and potential implications for Nasdaq in a world where Rule 611 could be repealed or significantly modified.
Adena T. Friedman: So for -- yes, so 611 is the Order Protection Rule and we are really looking forward to engaging the SEC through the roundtable and beyond on that topic. As you'll probably know, Reg NMS was put into place in 2020 -- I mean, 2005, 2006, with Order Protection Rule being the cornerstone of the rule but not the early part of the rule. So we are very happy to have that engagement. We operate in markets outside the United States that don't have an Order Protection Rule, like in Europe. We operate in markets in Canada that have de minimis standards around that rule. We operate very successfully in both of those geographies. So we do know how to compete successfully and operate successfully in environments with and without the rule. So it's going to be a healthy discussion and engagement. One thing we do want to make sure the SEC thinks about is just what other parts of Reg NMS need to be adjusted if they are going to consider eliminating the OPR. But we feel very confident in our ability to be successful in any environment.
Operator: Our next question comes from Jeff Schmitt with William Blair.
Jeffrey Paul Schmitt: On Verafin, I know most of that business is in the U.S., but you're starting to make progress internationally there, signing up the first European bank. And when we think about your medium-term guide for that business of mid-20s revenue growth, does that assume much international expansion? Or could there potentially be upside there if that momentum picks up?
Adena T. Friedman: So we've always talked about 3 pillars of our -- of the growth that will underpin that business to achieve the medium-term outlook. And one is, of course, the continued growth of the SMB sector. And I think we continue to show real strength there with 46 signings this quarter. The second is the move up market in the U.S. to the Tier 1 and Tier 2s and we are starting to show some momentum. And I think as we mentioned, we have had more success this year than last year in signing new clients and I think that should accrue to our benefit going into Q4 and beyond. And then the European expansion is kind of a longer leg to that expansion plan to achieve and to maintain our medium-term outlook. So Europe is not going to show up in the numbers in '25 or '26. But as you get into '27, '28, it should start to be a contributor if we're successful. We have to make sure we can land and expand. But we have a lot of confidence in our ability to create value for our clients there. So we're excited about the first milestone but it's a long road there but it is part of our medium-term outlook.
Operator: Our next question comes from Benjamin Budish with Barclays.
Benjamin Elliot Budish: Adena, you mentioned in your prepared remarks and I think in several prior quarters, an opportunity in the index business around annuities. Just curious if you could unpack that a little bit. I think it's something investors hear a little bit less about but given demographic trends in the U.S., given some noise elsewhere about private markets entering the retirement space, just curious what Nasdaq's exposure looks like there? How big is that business today? And what are your ambitions there?
Adena T. Friedman: Yes. We're pretty early in our expansion into the insurance annuity space. So I would not say it's a huge contributor to our business yet. But because we actually, frankly, hired a sales team and have really gone through into that space only in the last couple of years and with like a real precise approach and strategy. And so why is that interesting? Because it's -- what we find interesting is now that the Nasdaq 100 is one of the best indexes in the world and yet it really -- there's very little institutional exposure to it. And in the insurance space that are long investment horizons, it can be a huge value opportunity for them. So we've been really starting to engage with them on creating specific insurance annuity vehicles that are specific per client. As we mentioned, we launched 7 of them this quarter that really allow them to have exposure to the Nasdaq 100 and bringing that into their portfolio. And of course, as you know, they have a very broad portfolio mandate. So having great exposure to innovative growth companies is part of their mandate and we think the Nasdaq 100 is a great vehicle for that.
Operator: Our next question comes from Brian Bedell with Deutsche Bank.
Brian Bertram Bedell: Just back on to capital markets. Just looking at the second half, it sounds like the second quarter was pretty clean. And given that I think your prior guidance is still sort of the low end of that high single to low double-digit growth range but does this imply you'd be higher within that range given the strength in the second quarter? And then just bigger picture, on the crypto ecosystem, just appreciate your comments on that earlier, Adena. Does the ecosystem that we see today in digital markets and crypto make you feel better about the longer-term growth rate for the Adenza business relative to when you did the acquisition over 18 months ago?
Adena T. Friedman: Great. Thank you. With regard to Capital Markets Technology, as you mentioned, given some of the pauses we had in some of the conversations, that did elongate some of the sales cycles, which -- and that should -- that will ultimately kind of take a little bit of time to flow through. So we're -- and also, we think it's a little too early to tell whether or not this will have a meaningful impact on the full year. So we're, as we said, we're maintaining general consistency in the way that we're considering both the divisional and subdivisional growth rates for the year. In terms of the crypto and the ecosystem there and the fact that it is growing and maturing, there is regulation that's starting to come through. Those are things we did not actually anticipate in the Adenza transaction itself. But as with the -- if we are seeing a world where crypto and the crypto itself becomes more institutionally available, that is an opportunity across our fintech division because as institutions adopt those asset classes, they're going to want to make sure that they have the right trade infrastructure, the right risk management, the right regulatory reporting and anti-fin crime to support it in crypto. Digital assets, like the technology of digital assets in terms of digitizing traditional securities, we have been in that world for quite some time and we have been building our technology to support that for quite some time. So I think that those are all the things that we focus on. If we can see that crypto becomes bankable, that obviously becomes a very significant opportunity in terms of the ability for them to manage collateral, move collateral and manage risk as they're participating in these markets.
Operator: Our next question comes from Dan Fannon with Jefferies.
Daniel Thomas Fannon: I wanted to come back to the listings business, understanding that it is subject to the market conditions. But the other ancillary revenues like Corporate Solutions that come off of that, how would you characterize that environment today? I think you highlighted a Boardvantage win but just curious about the kind of broader Workflow and Insights business. And then also, as we think about IPOs coming back, what's the lag effect with the associated revenues with some of these other businesses?
Adena T. Friedman: Yes, sure. So if we talk about Workflow and Insights in general, as we discussed it and as Sarah discussed it, we have -- we are very pleased with how analytics and Data Link are continuing to grow, eVestment and analytics had improved gross retention in kind of just a general very healthy environment for growth there. And we have some great capabilities in the private space that we've been rolling out for quite some time and that's really helping to drive demand for eVestment in particular. In terms of Corporate Solutions and the listing environment, Corporate Solutions has continued to have modest growth and I would say, more challenges just in terms of the fact that the market for some time and the growth in the market value -- the growth in market values in the markets were tended to be geared towards the top end of the market. That's been expanding across the market more, which helps the health of the corporate audience for our Corporate Solutions. But it continues to be, I would say, a relatively modest growth environment but not a hyper growth environment at all in the listing space for Corporate Solutions. In terms of the flow-through of an improved listing environment into Corporate Solutions, just a reminder, we do give our listing clients a starter kit essentially of IR services. Governance is not included in that program but IR is. And that takes -- it's a 3-year program. So it does create a delay in paid subscriptions for those services. But we can upsell them on other things in that intervening period. So more IPOs does open up the aperture and does increase the pipeline. So we are looking forward to having more companies coming in and tapping the public markets.
Operator: Our next question comes from Owen Lau with Oppenheimer.
Owen Lau: So I want to go back to tokenization on both public and private market. And on private market, there are more platforms offering tokenized private company. Does this trend support or disintermediate Nasdaq private market longer term? And similarly for public market -- public equities, I know Nasdaq is going to launch 24/6 trading next year. How do you see the dynamic -- competitive dynamics there?
Adena T. Friedman: Sure. Well, Owen, I view tokenization as just a technology. So tokenizing is a technology that's used. And in the case of both the tokenization of private securities, as you've been talking about and the tokenization of public securities, I think at least what's come out so far is this is a new technology that really serves the same purpose as other things that already exist in the marketplace. So for instance, in private company shares, there are these special purpose vehicles that are created. But then wealth channels can then use to aggregate demand from their wealth clients but that -- the wealth channel itself is the investor in that special purpose vehicle, so it's one investor investing in the actual company shares. That is essentially what they're doing with tokenization as well. It's just a different technology construct to achieve the same goal. And in that, actually, Nasdaq Private Market does help supply -- provide and support those types of special purpose vehicles but in connection with the corporate. The corporate clients are a key constituent and key clientele for Nasdaq Private Market. So they do everything with the corporates in mind. But to the extent that there are transactions that are occurring that aren't just tenders or secondaries and blocks and other things and also the creation of special purpose vehicles, NPM does facilitate that in a collaborative way. In terms of tokenization in general, in terms of public and private securities. One of the things we focus on is what is ultimately in the benefit -- to the benefit of investors? Make sure that you think about liquidity, transparency and integrity, no matter what the asset class is. And that's our mantra. And so what will increase the liquidity. So we have obviously, Nasdaq Private Market, Nasdaq Fund Secondaries that could help drive liquidity in private assets. You have transparency and we have Tape D coming out of another private market now to create transparency of price discovery in a private company shares. But that's still -- there's not a lot of transparency of the underlying companies themselves or the underlying funds themselves. So that's something that probably needs to develop. And then, of course, integrity, to make sure you think about the regulatory framework to drive more accessibility of those assets, it's going to be important regardless of the technology that's used to do it. And then in the public markets, we are very focused on making the public company experience a better one for companies. It's such an important part of our economy. And as Chair Atkins said on CNBC the other day, let's make IPOs great again. We're very excited about that. We're engaged heavily with the SEC on ideas around that. And so we do think it's important to have a vibrant public market while also supporting the private market.
Operator: Our next question comes from Chris Allen with Citi.
Christopher John Allen: In the deck, you noted price increases across a number of segments, regtech, financial crime, capital markets tech and data listings. Just wondering how the price increases compared to prior historical price increases and what level is contractual of the price increases?
Sarah M. Youngwood: Yes. So price increases is definitely part of our growth formula. And I would say that this quarter has been very much in line with what you would have experienced. It depends contractually in the divisions. And some of the price increases, for example, in Financial Crime Management represent also the value of the engagement with our clients, represents the upsells. So you don't have like one way to look into it. But that being said, I would say it has been a nice contributor to our growth formula this quarter but also in the past.
Operator: Our next question comes from Ashish Sabadra with RBC Capital Markets.
Ashish Sabadra: Just on capital allocation, you talked about opportunistic deleveraging and buyback. I was just curious about the M&A pipeline. Anything that you see from a tuck-in perspective? Any color there will be helpful.
Sarah M. Youngwood: Yes. So we continue to have a lot of free cash flow generation. I just want to put the context of $1.9 billion of last 12 months free cash flow. So with that, we have lot of options and we can do more than one thing. So if you start with supporting the business, reinvesting in the organic opportunities that we have in the business, that is the #1 priority and we're doing that very much. We are very focused on fueling this revenue growth opportunity that you are seeing unfolding. The second part is the dividend and we'll continue to have it be progressive. And then beyond that, it's really being opportunity between debt and share repurchases and a focus on inorganic growth trajectory for now.
Operator: This concludes today's question-and-answer session. I'd like to turn the call back to Adena Friedman for closing remarks.
Adena T. Friedman: Well, thank you very much. Nasdaq continues to demonstrate the resilience of our diversified business as well as the strength of our partnership and relationships with our clients. And we look forward to continue to keep you updated on our progress in the quarters ahead. So thank you very much.
Operator: This concludes today's conference call. Thank you for participating. You may now disconnect.